Operator: This presentation and comments made in the associated conference call today may include forward-looking statements. Word such as believes, expects, anticipates, intends, plans, estimates, projects, forecasts, and future conditional verbs such as will, may, could, should and would, as well as any other statement that necessarily depends on future events are intended to identify forward-looking statements. Forward-looking statements are not guarantees and they involve risks, uncertainties and assumptions. There can be no assurance that actual results will not differ materially from our expectations. We caution investors not to rely unduly on any forward-looking statements and urge you to carefully consider the risks identified under the captions Risk Factors, Forward-Looking Statements, and Management’s Discussion and Analysis of Financial Conditions and Results of Operations in our annual report on Form 10-K and quarterly reports on Form 10-Q, which are available on the Securities and Exchange Commission’s website at www.sec.gov. All written or oral forward-looking statements that we make or that are attributable to us are expressly qualified by this cautionary notice. We expressly disclaim any obligation to update the information and any public disclosure if any forward-looking statement later turns out to be inaccurate. Good morning ladies and gentlemen. Welcome to Invesco Mortgage Capital Inc.s’ investor conference call. All participants will be on a listen-only mode until the question and answer session. At that time, to ask a question press the star followed by the one on your telephone. As a reminder, this call is being recorded. Now I’d like to turn the call over to the speakers for today: Rob Kuster, Chief Operating Officer; Richard King, Chief Executive Officer; John Anzalone, Chief Investment Officer, and Lee Phegley, Chief Financial Officer. Mr. King, you may now begin.
Richard King: Okay, thanks Operator. Good morning and welcome. Thanks for joining today. IVR’s management believes we can deliver optimal shareholder value over the long term by producing a high level of current income to shareholders generated through core earnings and passed along in the form of dividends. We believe we can deliver book value stability over the long run by managing risk appropriately. That means accepting risk that may generate near-term volatility but allows us to meet our earnings targets. It also means avoiding the types of risk that create risk of a longer term book value loss. Our results since the company’s IPO over the past year and over the past quarter reflect that philosophy. As shown in the financial highlights on Slide 3 of the presentation, in the second quarter we earned core earnings per share of $0.50 in range of the past year and in line with the dividend. In the second quarter, our book value was up $1.27 per share or nearly 7% to $19.80. We generated economic value of $1.77 per share in the second quarter, which is about 9.55% economic return on book value in the quarter. This follows book value gains of $0.56 in Q1 and $0.33 in Q4. We also made significant progress in our strategic objectives on both the asset and liability sides of our balance sheet. In the table at the bottom of Page 3, we want to highlight the shift we’ve planned and executed in our assets. Over the past five quarters, we have reduced earlier agency MBS from 56% of our assets to 38% of our assets. Net capital has been redeployed into agency hybrid and loan strategies in each of residential and commercial credit. We have maintained momentum as well in the new loan securitization space. I’ll let John Anzalone get into more detail on the asset strategy later. For now, let’s turn to Page 4 and I’ll briefly talk about the environment. We see the economy improving. More jobs are good for mortgage credit. The improvement in the second quarter in employment was real in that the drop in unemployment was not from discouraged workers leaving the workforce. Long-term unemployed are getting jobs. At the same time, we think growth is capped and that is primarily due to government debt loads and increased regulation here and globally that continues to burden future potential growth. We are likely to see modest growth but not strong growth. That should keep inflation in check and keep interest rates from increasing dramatically. In this environment, credit spreads will likely remain low as well because investors need for yield in a very yield-repressed world is pretty great. That dynamic is exacerbated in the mortgage space where we see negative or very limited net issuance of agency mortgages, RMBS and CMBS. Agency MBS as a percentage of the Barclays Ag Index, by way of illustration, is down dramatically from over 40% in 2008 to about 28% today. Issuance in non-agency RMBS space remains a small fraction of what it was. Issuance was over a trillion in mid-2000, just about $14 billion last year, and annual issuance is about one-tenth or less of what is just rolling off. Meanwhile, there are a number of favorable trends in our mortgage markets. Financing rates are improving, prepayments are muted, rate volatility is low, fundamentals or mortgage credit are excellent, new loans exhibiting next to no delinquencies, and legacy loan delinquencies continue to improve as well. We expect home prices nationally to increase a sustainable 5% in 2014. Commercial real estate fundamentals are also strong as rents are increasing and valuations are improving. The environment is good for our strategy of extending mortgage credit and earning a reliable net interest spread after loss assumptions. Please turn to Slide 5. This chart is meant to illustrate why we believe we can build (indiscernible) from book value stability. The blue line is the yield on the 10-year U.S. treasury note. I entered the investment business in 1984, 30 years ago. Interest rates have clearly trended lower for the entire 30 years, but for the 30 years before that, rates clearly trended higher. Investors do not want to be overweight interest rate risk when the trend once again changes towards higher yield. That is why we hedge duration and earn our dividends primarily through capturing credit spread premiums. The green line on the chart depicts investment-grade corporate bond spread premium, but the picture would look similarly cyclical in mortgage credit. The spread is cyclical. We know credit premiums widen in a recession and tighten when the economy is improving generally. We believe this is a good time to own mortgage credit spreads. Besides the fact that issuance is extremely limited, as I spoke about, loans being made are well underwritten, house price affordability is high, and leverage has been significantly reduced. By investing in our strategy (audio interference) investors get a high yield and total return, and it’s a good diversifier versus both the equity market and the fixed income market or interest rates. Invesco Mortgage Capital is not a rate play. We aren’t deriving our yield from lending long and borrowing short. Our equity duration – that is, the percent change in our fair market value given up under basis point change in rates – is about 2, which is very small. It’s small because 95% of our short-term borrowings are hedged, extended if you will with paid fixed interest rate swaps. As a result, our economic returns have actually been just as good in periods where rates rose as when rates were stable and falling. We aren’t a rate play. We aren’t a yield curve play. We are a credit spread premium play, if you will, and we like mortgage credit at this point in the cycle. Let’s now turn to financing. On the liability side of the balance sheet, we have made great progress here as well. We have been hard at work in 2013 and 2014 to diversify funding sources. In the top panel of Page 6, you can see that we continue to find new ways to fund asset purchases. We have issued preferred equity, corporate notes, used securitization as financing, and our insurance sub has utilized secured federal home loan bank advances. Shortly after quarter end, we entered into $1.25 billion of floating rate advances with a 10-year maturity. This will extend our consolidated average maturity profile from about two months to about 12 months. Securitization financing is growing each quarter as well, and at quarter-end we had over $2 billion of asset-backed financing on the balance sheet. By the end of Q3, securitization financing is projected to be quite a bit larger with the deals we have in the pipeline. On Page 7, we display book value in the second quarter. The bottom line is this – each of agency MBS, non-agency and CMBS prices rose more than equal duration treasury notes or interest rate swaps. Hedging costs of $0.90 per share were more than offset by the gains in each of these categories that combined for $2.17 of increase, for a net increase of $1.27 per share. On the right side of the page, you can see we’ve maintained consistency of core earnings. We came in on the higher side of recent quarters at $0.50 per share. Comprehensive income was strong in Q1. It was also in Q2, and adding them together we have generated comprehensive income of $2.79 per share in the first half of 2014. We have now seen three quarters in a row of healthy book value improvement, comprehensive income increase. In the fourth quarter, I’ll remind you, book value grew amid rising rates, and in the last two quarters it grew amidst falling rates. We anticipate an environment characterized by low yield, low interest rate volatility, and low spread volatility for the remainder of this year. John Anzalone, our CIO, will now talk about our investment strategy.
John Anzalone: Thanks Rich, and thanks to everyone joining us this morning. As Rich has just mentioned, we have been successful in migrating the portfolio away from interest rate risk and towards a greater exposure to credit risk. The graph on Slide 8 provides a nice illustration of the progress we have made. You can see our fixed rate agency position has declined significantly, down about $650 million year-to-date with our exposure to lower coupon 30’s cut in half from a year ago. We have continued to add hybrid arms and our balance in that sector is up about $800 million year-to-date. These moves have kept our interest rate exposure very manageable and our book value improvement has been attributable to credit spread tightening, not changes in rates. We closed our seventh jumbo prime securitization during the quarter. We will close at least one more during the third quarter. On the CRE side, the loan pipeline is growing and we expect to close several loans during the third quarter. Please turn to Slide 9. It’s in the agency book that you can really see how we’ve reduced our exposure to rates. We focused our sales in lower coupon 30-year collateral and those coupons now represent 31.5% of our agency book, down from over 56% a year ago. The average coupon of our 30-year agencies is 4.17% and we have increased our exposure to hybrid arms up to about 28%. Rotating away from lower coupon 30’s into shorter duration hybrids has served to further lower our rate risk. Fees picked up a bit this quarter, reflecting spring seasonals as well as the changing mix of our portfolio. Slide 10 highlights our residential credit book. We continued to add legacy non-agency bonds as these bonds benefit from further improvement in borrower and collateral performance. We added another $272 million of jumbo prime loans through our latest securitization and we added an additional $401 million securitization, which is expected to settle during the third quarter. Those two additions will take our resi loan balance up to approximately $2.7 billion. The credit performance of those loans remains exceptional with no loans 60 or more days delinquent. We also remained active in the (indiscernible) credit risk transfer space as our balance there increased by $157 million amid continued purchases as well as spread tightening during the quarter. We have seen a back-up in CRT spreads during July and we view any additional widening as an opportunity to add to our position. I’ll finish with Slide 11 and commercial mortgage credit. We increased our CMBS balances by $339 million as we were actively purchasing AA and AAA classes. These bonds were contributed to our insurance subsidiary and financed through federal home loan bank advances. This financing allows us to purchase bonds higher up in the capital structure, which reduces our credit risk and lowers our book value volatility. We expect to continue to add AA and AAA CMBS positions going forward. Our commercial loan book consisting of direct loans, mez certificates, and joint ventures, now totals about $187 million. The pipeline here has been growing and you should see several more loans on our books when we report next quarter. As in our resi book, improving fundamentals are benefiting the portfolio here also. With that, I’ll open the floor up to questions.
Operator: [Operator instructions] Our first question comes from Douglas Harter with Credit Suisse.
Douglas Harter – Credit Suisse: Thanks. Rich, you mentioned your interest rate exposure was about two this quarter. Can you just remind us what it was last quarter?
Richard King: I think last quarter, we probably said two to four years, so it’s been coming down as we’ve continued to sell longer fixed rate paper and we really haven’t taken off swaps, so we have contracted further as rates kind of get lower in the range here.
Douglas Harter – Credit Suisse: And how would you think about your extension risk in an up-100 basis point environment today versus, say, a quarter ago given those portfolio changes?
Richard King: It’s definitely less. I mean, when you sell—like, 30-year 3.5’s primarily is what we’ve been selling, and while they are pretty extended, they could get longer in a back-up in rates. The kind of stuff we’re buying, the hybrids just don’t have much extension risk and CRT obviously is floating rate, the GSC risk transfer trades.
Douglas Harter – Credit Suisse: Great. Then can you talk about the returns you’re seeing on the jumbo securitizations that you—one that you did in the second quarter and one that you did in the third quarter, how those returns are looking today?
Richard King: Those are low double-digit type returns, and the great thing about that is we have locked up financing for the term of the loans – you know, our match funded, non-recourse, so those returns are locked in and the key thing there is the credit. We have lots of underlying loans, and as John said, there are actually no delinquencies 60-plus in over 3,000 months.
Douglas Harter – Credit Suisse: Great, thanks Rich.
Operator: Thank you. Our next question comes from Mark DeVries with Barclays. Your line is open.
Mark DeVries – Barclays: Yes, thanks. First question – I just want to get a sense of in addition to the jumbo, where your levered returns are on incremental investments and all your different asset classes right now.
Richard King: Right. Just one second. We’ve got a little table we can—here we go.
John Anzalone: Yes, so I’ll just start on the agency side. You know, it’s actually interesting because a lot of the—across different asset classes, a lot of the returns have kind of converged on top of each other, so there’s going to be a lot of similarities here. But in agencies, we’re probably around 10 to 11%, I would say, in terms of levered ROEs. Obviously there’s a lot of risks around that with those bonds in that strategy being a little bit harder to hedge. In terms of sort of legacy RMBS and legacy commercial, we’re looking at maybe high single-digit type ROEs levered. The issue there really is finding legacy paper that we like, and as Rich mentioned, those asset classes on the legacy side certainly are shrinking, and on the resi side particularly we’re not seeing any real meaningful supply there. In GSC risk transfer, we’re looking at 10 to 11% on the unrated classes on a levered basis, and again as Rich mentioned, we like that trade. A lot of that has to do with the fact that it’s floating rate, so there is no interest rate hedge. As long as you’re comfortable with the credit, you should be fine there. Then in the loan strategies, we’re basically in the—call it high single digits, I would say, on the commercial side. So really, what it comes down to is everything is in that, call it 9 to 11% range, and it’s a matter of where you want to take your risks; and right now, we think credit is a much more manageable risk than interest rates right now.
Mark DeVries – Barclays: Okay, great. Then next question, I just wanted to touch on Rich’s opening comments about managing or limiting book value volatility in the business model. I appreciate that you’ve been moving towards more stable non-recourse liabilities, but in this past quarter your leverage didn’t move down very much when you consider the ongoing shift towards less liquid and credit-sensitive non-agency assets. Could you just discuss how you’re thinking about the risk to NAV volatility as this shift continues?
Richard King: Sure, well there are two sides to the NAV volatility, I guess. There is first of all—a, if you don’t have mark-to-market financing, if you have locked-in financing, the securitization financing, that’s not something we actually owe money on, so we have the strength to stay with those trades no matter what. So when pricing widens, you’re not forced to do anything from a portfolio perspective. In addition, on the loan strategies, they’re held at cost, they’re held to maturity, and so you won’t have book value volatility in those strategies, so that will definitely reduce book value volatility. Then generally on the floating rate stuff, you’re going to have a lot less because you don’t have any interest rate exposure. You still have some credit premium. But the point there is over cycles, you’re going to have some volatility but the trick is managing the risk such that you have strong hands, and you make sure you have enough cash liquidity unencumbered, et cetera, to manage through those periods and then what you end up with is just a really attractive income over the long term, which creates total return.
Mark DeVries – Barclays: That’s helpful, thank you.
Operator: Thank you. Our next question comes from Joel Houck with Wells Fargo. You may ask your question.
Joel Houck – Wells Fargo: Thanks and good morning. I guess maybe to kind of continue the theme, first in the agency side, obviously you’ve increased the allocation toward hybrid. Help us understand how you think about the relative value opportunity in hybrid versus the trade-off of it being less liquid. If you go back last year, even though you guys didn’t have a lot of hybrid exposure during the dislocation in the market, those securities performed worse than 30 years for a period of time. While that may not be happening, I’m just kind of interested to see how you guys are thinking about the trade-off between relative value and liquidity of the security.
Richard King: Yeah, that was definitely a unique time. We had gone through a period where there were a lot of players that only bought hybrids who were no longer raising capital and in fact were selling agency mortgages, so that was really a technical dynamic there. But from a fundamental perspective, they got way too undervalued, and we took advantage of that. But that’s not to say the liquidity isn’t good; I mean, these are still agency securities, they are shorter duration, and I think in a period where rates are rising, people will like that story.
Joel Houck – Wells Fargo: Richard, do you kind of continue to see the allocation toward hybrids on a percentage basis increasing the balance this year, assuming spreads don’t move a ton? I mean, is this still where you want to put capital on agency side?
John Anzalone: Yeah, I think just the theme of continuing to shorten duration, and particularly as we move into the later part of the year when we get—you know, the Fed taper or the Fed buy program really starts to wind down, we’re trying to get out of the way of some of the lower coupons in anticipation of that, and just overall just generally reducing our interest rate risk. So really, we’re looking at sort of the trade-off in terms of relative value between higher coupon 30’s, 15 years and hybrids; and right now, I think hybrids are our favorite place amongst those three.
Joel Houck – Wells Fargo: Okay. And then if I can just switch on the non-agency side, you’ve estimated, I guess, 5% HPA for 2014. You know, we’re halfway through the year now. I’m wondering how much you think is factored in, whether or not we’re on—I understand that’s a national number, but are we tracking close to that number? Could there be upside, and maybe what means for the pricing of your securities?
Richard King: I think year-over-year prices are up 9%, but you had a pretty strong end of last year and that will be rolling off, obviously. This year, I think we’re tracking pretty well. We have had—we’ve seen house price appreciation, but more recently not when you adjust it seasonally, so we think we’re definitely seeing lower house price appreciation, but I don’t think anybody in their right mind thinks that we’re going to have double digits for a number of years given the credit availability that’s out there. So you know, you’re seeing slower home buildings just from a credit restriction perspective, and so it leads to, I think, what can be a pretty stable increase.
Joel Houck – Wells Fargo: All right.
John Anzalone: Oh, and in terms of impact on bond prices, I mean, I think given where the housing market is going, we’ve seen, as we mentioned, the new issue credit has been just exceptionally good. Really for the legacy bonds that we own, we tend to be more up in the capital structure anyway on those, so we wouldn’t expect the housing market to have a real impact on the bonds that we own in terms of pricing.
Joel Houck – Wells Fargo: All right, thanks guys.
Operator: Thank you. Our next question comes from Trevor Cranston with JMP Securities.
Trevor Cranston – JMP Securities: Hi, thanks. First of all, I think Rich may have made a comment about increasing the FHLB advances post-quarter end that I missed, so I was hoping to get a clarification on that. And also related to that, I was hoping you could talk about kind of with the existing portfolio, have you pretty much transitioned the assets to make the most sense to fund with the FHLB over to that advance line at this point, or do you think there’s still room for you to kind of continue to shift some of the assets off repo and onto FHLB funding?
Robson Kuster: Thanks Trevor, this is Rob. No, the moratorium hasn’t really impacted current members that are in good standing, so we did increase and took our borrowing up to the limit to the insurance captive, so as Rich mentioned earlier, it’s $1.25 billion in advances right now. We did use some agency collateral to do that, so I think over the next couple quarters we’ll probably be moving AA and AAA CMBS in there to replace that collateral, and I think that’s what John alluded to earlier, that our continued focus on the CMBS side will probably be to try and maximize that opportunity through the insurance.
Trevor Cranston – JMP Securities: Got it, that’s helpful. And on the non-agency side with respect to the legacy bonds you guys have been adding, can you just comment on kind of what segment of the market you like there? We’ve also seen a couple news stories recently about some big auctions, so can you maybe comment about any opportunities you’ve had to add to that portfolio since quarter-end?
Richard King: The kind of bonds we like has been pretty consistent, generally prime and (indiscernible) hybrids. We really weren’t very involved in the auctions. I mean, we certainly looked at a lot of stuff and bid on them, but the auctions tend to be pretty well bid and we tend to get a little better value cherry-pickings things that aren’t quite so widely distributed.
Robson Kuster: It’s interesting – the dynamic recently in the non-agency market has really flipped from a couple years ago where big auction lists would kind of spook the market, and now what we’re seeing is there is so little supply, you know, the trading lines have decreased so much than when you get fairly large lists, it ends up being extremely well bid and people are looking to buy, so it’s actually extremely competitive on the list.
Trevor Cranston – JMP Securities: Got it, that’s good color. Thank you.
Operator: Thank you. Our next question comes from Mike Widner with Keefe Bruyette & Woods.
Mike Widner – KBW: Good morning guys. So I noticed on—I wanted to talk about the FHLB piece a little bit. You guys have the checkbox on Slide 6. I guess my first question is does that show up on the balance sheet yet, and what assets would you guys be funding with that?
Robson Kuster: Thanks Mike. What you’ll see in the second quarter is $625 million advances against CMBS assets, and then early in July we used agency collateral, moved it and contributed into the insurance sub and took a term advance against that. The way the loans are structured, they’re fungible so long as you keep the loan to value ratio. As long as you maintain that, you can move collateral in and out, so we’ll be actively moving, contributing CMBS funds into the insurance sub over the next couple quarters.
Mike Widner – KBW: Okay, so CMBS I understand, but did you also say you’re moving agency, like agency NBS collateral in there as well?
Robson Kuster: We did, yeah.
Mike Widner – KBW: Okay, because I hadn’t foreseen—I don’t think we’ve seen anybody else do that, and I just thought because of the terms and the capital you’ve got to contribute, that economically that wasn’t quite as good as the repo market.
Robson Kuster: (Indiscernible) so it’s a little more expensive. Predominantly what we were trying to do there is establish a term loan, so whereas normally you’re funding agency collateral of one month or three months, this is a 10-year loan so you expect to pay some for that. The three-month floating structure, it’s three-month LIBOR plus 15, so it’s 38 basis points right now all-in, so we’re giving maybe 6, 7 basis points to one-month repo.
John Anzalone: But we do intend over the next couple quarters to, like Rob said, replace that with AA and AAA CMBS, which really from—you know, when you think about our credit book, that really improves the credit quality because we wouldn’t be able to—you know, AA and AAA wouldn’t make sense otherwise.
Robson Kuster: Right, and the real benefit we get is the change in our liability profile, so Rich alluded to it earlier but we’re estimating that it’s going to take our average days to maturity out from 60 days, 59 or 60 days that we’ve been running to about 12 months. That’s a real change in risk profile.
Mike Widner – KBW: Absolutely. So the 625 you mentioned, is that something that might grow or is that kind of what your line with the FHLB, so to speak?
Robson Kuster: Yeah, the line is $1.25 billion.
Mike Widner – KBW: Okay. Now I guess the last question on that one is you guys sort of snuck in, or you got it in before the so-called moratorium on allowing REITs to access the FHLB. Do you have any idea how and sort of when that’s going to play out, or if there’s any thoughts on whether—you know, now that you’re there, you’re sort of grandfathered even if there is a change, any thoughts on sort of how that shakes out?
Richard King: We can’t really speculate. Our view is we’re a member in good standing. We didn’t know anything about the moratorium when we—you know, we had worked on this for a year before we finally were—formed the insurance company and gained membership. We have a 10-year term loan. I think we’d expect that could be honored, but we’ll see what happens.
Mike Widner – KBW: Yes, makes sense. I think it’s—hopefully it’s a safe assumption, but looking forward to seeing how it all shakes out. Thanks for the answers, guys.
Operator: Thank you, and as a reminder, to ask a question please press star, one now. Our next question comes from Ken Bruce with Bank of America. Your line is open.
Ken Bruce – Bank of America: Great, thank you. Good morning gentlemen. To one of Joel’s questions, you responded just as it relates to what your position is relative to when the taper begins to be more pronounced later in the year. Some have speculated that they’re quite comfortable that the technical dynamics should remain fairly strong just with the Fed continuing to reinvest principal and the like. Maybe you have a different position, maybe you have a similar one. Maybe you could just essentially discuss how you think the market evolves as we go through the remainder of the taper, please.
Robson Kuster: Right. Yeah, I would say over the near term, our outlook is fairly sanguine, I would say. I think you’re exactly right – the Fed purchases even as they progress through tapering is still going to support the market, even at lower levels of purchases. But we do think that dynamic will shift a little bit and sort of that supply-demand dynamic flips towards the Fed not buying everything like they are now. So we do expect that there will be a little bit of volatility around the end of taper, but there are mitigating factors that—we’re not saying that (indiscernible) market is going to completely roll over or anything, but certainly we wouldn’t be surprised to see some volatility around lower coupon mortgages. But that said, we do believe that if we do get a significant widening and we get—and especially if it’s accompanied by higher rates, you should see banks begin to purchase mortgages. You’ll see money managers cover shorts, hedge funds cover shorts, things like that that will provide some support. And the reality is, is that the rest of the fixed income market is extremely tight also, so I would expect you’d see some reallocation into mortgages. So while we expect there will be some volatility and perhaps some weakness later in the year, we’d expect it in effect to be fairly limited. But really, I think that what we’re probably more worried about than actual—like what you’re getting at is what’s going to happen to agency spreads. I think we’re more worried about what might happen with rates in terms of being in shorter duration assets and assets that are easier to hedge, things like that.
Ken Bruce – Bank of America: Okay, thank you. The prime jumbo securitization, could you discuss what your sourcing mechanism is and how you are managing the overall collateral from a due diligence standpoint? Could you remind us on how that happens again?
Richard King: Sure, so we’re buying loan packages in bulk and we’re underwriting those loans. One hundred percent of the loans are diligence, and we essentially form relationships with some of the large banks who have conduits, and that’s been working out very well. We end up with the assets we want on the balance sheet, term financing, and it’s low impact to our shareholders in terms of we’re not having huge G&A expense from 500 employees or something like that. So it’s been a great strategy for this market where loan production is relatively low, and we constantly monitor the market to determine when is the right time to start taking a more granular approach.
Ken Bruce – Bank of America: Right. I guess what I’m getting at is are these—in terms of your counterparties, are you facing off against large banks through their conduits, or is there a more granular set of sellers that you ultimately are facing directly and who ultimately are going to have any potential risk just associated with the financial performance of the counterparty that’s selling to you?
Richard King: So the reps and warrants are on behalf of the bank in these cases, or on the more highly rated originators, stronger originators, they have the reps and warrants, so it kind of depends on the specifics of the deal.
Ken Bruce – Bank of America: Okay. Maybe lastly, could you remind me, are these securitizations, are they consolidated on the balance sheet or are these ultimately you’re just retaining the residual plus maybe some other component parts of the securitization itself? Could you just maybe talk through what the balance sheet impact is for these investments?
Richard King: So we actually bid on the loan package, and we’ve worked on the loan documents—I mean on the deal documents and we consolidate them on our balance sheet.
Robson Kuster: Right, so the AAAs represent about 93% of those, and what we actually retain are the 7% (indiscernible), so we put some light terms of leverage on to get to that sort of upper single-digit return profile we’re looking for, and then the loans are consolidated on our balance sheet on a GAAP basis.
Ken Bruce – Bank of America: Okay, and I guess maybe just to put a fine point on that, you have essentially a security that you can liquidate at some point should you basically decide that it’s fully valued away and just want to rotate out of that particular asset class?
Richard King: We have several securities, so we still tranche the whole deal, so there are rated notes that we could sell but we don’t have any intention to sell them.
Ken Bruce – Bank of America: Understood, I’d just like to understand how—your strategy, obviously, has evolved over the last couple years, and arguably as we move forward there’s probably going to be some more changes and that may force you to change tactics again, so I wanted to just understand the overall liquidity of the balance sheet as you kind of get through the next few years. Thank you for your comments.
Richard King: Sure, thank you.
Operator: Thank you. Our next question comes from Dan Altscher with FBR Capital Markets. Your line is open.
Dan Altscher – FBR Capital Markets: Thanks so much for taking my call – appreciate it. Just one final question on FHLB – I think you’ve helped fill in the gaps a lot on the size and the cost of funds and the assets you’re going to be rotating into there, but could you maybe just give us a little bit of sense of the relative yields on the assets that have been funded with FHLB and the terms of leverage, just to kind of get to a bottom line ROE or economics on the business currently?
Robson Kuster: Right, thanks for the question. You know, the way to think about that is that there is not a whole lot of difference in return profile. What is changing is the risk profile of the assets we’re purchasing to get to that return, so whereas we were previously buying BBB or single-A CMBS and putting those on one-month repo, here we’re able to buy AA and AAA CMBS and term the financing out, so it really should improve the book value stability in that suite of the portfolio. We think it’s the right move.
Dan Altscher – FBR Capital Markets: Okay, so maybe you don’t really see the program as a return enhance but really more as a risk mitigation or good risk-adjusted return tool.
Robson Kuster: I think that’s an excellent way to phrase it, yes.
Dan Altscher – FBR Capital Markets: Okay. Just maybe shifting gears slightly, the stock is still trading at a fairly good discount to book value, maybe not as wide as it was back in April—I’m sorry, not April, back in fourth quarter of last year when you did a pretty good size buyback. But how do you think about executing on the buyback now with the stock trading a decent chunk below 90% of book value?
Robson Kuster: Yeah, that’s a good question too. We spent a good deal of the first quarter in a blackout period, so we weren’t able to go out on the market and purchase any stock. I think the blackout period will end a couple days after the earnings release is out here, and to the extent we’ve historically been targeting 85% of book or below to be active in that, I think that’s a good way to think about it.
Dan Altscher – FBR Capital Markets: Okay yeah, that’s great to put kind of a targeted range on it. I appreciate it – thank you.
Robson Kuster: I think above 85%, we’re more inclined to buy assets.
Operator: Thank you. If you have a question, please press star, one now. We have one more question in queue. We have Douglas Harter with Credit Suisse.
Douglas Harter – Credit Suisse: Thanks. Just following up, I was hoping you could give a little more color on the big increase in the earnings from the equity JVs.
Richard King: Hey Doug, yes, sure. Early on, we made investments in a couple of joint ventures where we worked with investor real estate (indiscernible). These are distressed loans primarily in the commercial space, and some of those investments, it’s a private equity-style fund and some of the investments are beginning to bear fruit and have realizations and so forth. So we have a pretty nice pop this quarter in valuations, and I wouldn’t be surprised to see some more of that but we can’t really give you a forecast specifically.
Douglas Harter – Credit Suisse: I guess how old are the typical investments in there, and is that what would lead you to sort of have comfort that there could be more of those?
Richard King: So the investments have been made over—you know, from late 2009 through last year, and a good example was that Atlas transaction where we bought a package of loans that were for sale from a large bank. There are many others, but—yes, so some of those, you know, real estate valuations, as you know, are increasing so some of those loans that we bought at deep discounts are maturing at par or being refinanced or re-tenanted, et cetera. So yes, we expect that to continue to go well.
Douglas Harter – Credit Suisse: Perfect, thank you, Rich.
Operator: Thank you. I’m showing no further questions.
Richard King: Thank you, Operator, and thanks to everybody and we’ll talk to you next time.
Operator: Thank you. Thank you all for attending today’s conference. You may now disconnect.